Operator: Welcome to the SunTrust First Quarter 2011 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Mr. Kris Dickson, Director of Investor Relations. You may begin.
Kristopher Dickson: Thanks, Lindy, and good morning, everyone. Welcome to SunTrust's First Quarter Earnings Conference Call. Thanks for joining us today. In addition to the press release, we've also provided a presentation that covers the topics we plan to address during our call today. The press release presentation and detailed financial schedule are available on our website, www.suntrust.com. This information can be accessed by going to the Investor Relations section of the website. With me today, among other members of our executive management team, are Jim Wells; Bill Rogers; Mark Chancy and Tom Freeman. Jim will start the call with some opening remarks. Bill will then comment on TARP redemption and provide an overview of the quarter. Mark will discuss financial performance and review asset quality, and Bill will wrap up with operational highlights from our businesses. At the conclusion of the formal remarks, we'll open up the session for questions. Before we get started, I need to remind you our comments today may include forward-looking statements. These statements are subject to risks and uncertainties, and actual results could differ materially. We list the factors that might cause actual results to differ materially in our press release and SEC filings, which are available on our website. During the call, we will discuss non-GAAP financial measures in talking about the company's performance. You can find the reconciliation of these measures to GAAP financial measures in our press release and on our website. Finally, SunTrust is not responsible for and does not edit nor guarantee the accuracy of our earnings teleconference transcripts provided by third parties. The only authorized live and archived webcasts are located on our website. And with that, I'll turn it over to Jim.
James Wells: Thanks, Kris. I think it's important to comment on the CEO leadership change that was announced this morning along with the earnings release. As you know, there is a tradition at SunTrust that CEOs retire by their 65th birthday, and for me, that's May 2011. As you also know, SunTrust and its board were on a robust succession management and development process, and that process has been in place and operative for some time for this particular succession. Bill Rogers is a deeply experienced banker and leader and has created great value for SunTrust over his long career. He's been the driving force behind our play to win growth and operating strategy that has helped drive the improvement in our performance in recent quarters. He has my respect as a leader and as a person, so not only due to the calendar, but also due to the fact that the financial services industry is now in the midst of a meaningful inflection point, we believe it's the appropriate time for this change. This point in time is also a particularly good one for the invigorated leadership team we've assembled over the past several years to guide SunTrust through the difficult economic, regulatory and political environments. As those environments continue through a period of radical and uncertain change, Bill and the team are well-positioned to ensure that SunTrust will compete and will win. I'm very proud of what has been accomplished at SunTrust broadly and in recent years. And I'm also very proud of the leadership team that is now in place, and I'm confident of what I know they will achieve. With that, I'll turn it over to Bill.
William Rogers: Jim, thank you. As anyone would imagine, I feel very fortunate to be in the position I find myself in today. I joined this company almost 31 years ago as a management trainee. I've seen virtually every area of the company and worked with and for some great leaders. I'm very excited about the opportunity and what our company can do in the future. After all, we've got a great brand, the best footprint in banking, the best-in-class client service, positive momentum in key areas and teammates focused on winning. And as Jim said, our key senior leadership team has never been stronger or more focused. Now at the same time, I'm also very proud of how our company has responded to the adversity of the recent past, and particularly, Jim, under your leadership. Thank you for your support. Thank you for leading by example. The impact of your contributions to this company over 43 years will be felt for a very long time to come. I also appreciate the courage, patience and strength of character you've shown and at possibly no time greater than you demonstrated during what I'll refer to as the TARP era, and leading up to our recent repurchase of government shares. So thank you. Now before we get into the financial results, I'd like to spend a moment on Slide 3 discussing our redemption TARP shares, which occurred at the end of the quarter. In mid-March, upon the completion of the Federal Reserve's review of our capital plan, submitted in connection with the CCAR, we took actions to facilitate the redemption of TARP shares. First, we conducted a successful $1 billion common stock offering. It was well received by the market, as evidenced by the pricing and oversubscription. Further, it had a follow to offer premium of 4.4%, which is a number that we were clearly quite pleased with. We followed that with $1 billion senior debt offering, which also went very well. It priced through our rating with attractive spread of just 160 basis points over the 5-year treasury yield. And on March 30, we redeemed the $4.85 billion of preferred shares that were issued to the U.S. Treasury under TARP. Our common stock issuance in connection with the redemption of those shares was just 21% of the total TARP outstanding, which we believe is well below the amount it would've been had we redeemed the shares earlier. By keeping shareholders' best interest in mind and demonstrating a patient, deliberate approach to TARP redemption, we successfully lessened the dilutive impact to our shareholders. And on balance, we're pleased with how this all concluded. Now let's just take a look at Slide 4 at the impact this transaction and repayment had on our capital position. With the issuance of the common equity and the redemption of the TARP preferred securities, our capital position was significantly enhanced this quarter. The Tier 1 Common equity ratio increased 92 basis points to an estimated 9%. And the Tier 1 Capital ratio, excluding TARP, was up 98 basis points to an estimated 11%. Our capital position is well above current regulatory requirements, as well as the proposed Basel III regulatory standards. Now that TARP shares have been redeemed, I'll reiterate our future capital plans. As we've said, we have been investing and will continue to invest in our people and businesses to support future growth. At the same time, we also recognized the value of returning capital to shareholders, and that regard, in due time, we plan to increase the common dividend. We expect that our board will evaluate this decision in the latter part of this year, and if our financial results and the economy continue on a positive flight path, the board would be in a position to consider a modest increase. Now moving on to Slide 5. I'll provide review of our financial results. As you saw, we reported $0.08 per share or $0.22 when excluding the noncash charge from our TARP redemption. Further improvement in credit quality, expansion of the net interest margin and a reduction in expenses drove earnings that were even with the prior quarter when you exclude the TARP charge. As we emphasized profitable growth and credit quality continued to improve, we delivered solid performance that was in line with our expectations for the quarter. We also made additional progress in executing our strategies to drive longer-term growth. I'll spend a moment highlighting some of the key drivers this quarter, and then Mark will provide some more detail. Client deposit growth continued its positive trajectory, reaching a record high this quarter. A positive mix shift continued as well with lower cost deposit increases more than offsetting the decline in higher cost deposits. Overall, average loan balance increased only modestly. However, an important part of the story is the continued run-off on higher risk loans, which are down significantly this quarter. They were offset with increases in targeted, lower risk loan categories. We had another quarter of strong net interest margin growth. This marks the eighth consecutive quarter where we've seen expansion. The income declined as anticipated due to some seasonal aspects and lower refinance phase mortgage originations. The expense story is a good one compared with the prior quarter. Despite seasonally higher employee benefit expenses, we managed expenses down 5% from the prior quarter. And finally, improvements to credit quality continued as nonperforming loans and assets, early stage delinquencies, net charge-offs and the provision for loan losses all declined during the quarter. So we continue to navigate through a challenging operating environment. We're pleased with a solid first quarter performance and recent operating trends. Before I turn the call over to Mark, I'll conclude by noting that with the redemption of TARP shares behind us, we are singularly focused on our client centric strategies which are aimed at taking advantage of the growth opportunities in our market. We believe they'll be the catalyst for further improvement in profitability. We're continuing to invest in three main areas: teammate engagement, client loyalty and growth in primary relationships. And we believe this will drive market share growth and ultimately higher levels of profitability and improved financial performance for our shareholders. And Mark, I'll turn the call over to you and then I'll come back to wrap up.
Mark Chancy: Thanks, Bill, and good morning, everybody. I'll begin my comments today with a high-level review of the income statement on Slide 6. As Bill noted, we posted net income to common shareholders of $38 million or $0.08 per share for the quarter. These results included a $74 million or approximately $0.14 per share noncash charge in conjunction with TARP redemption, which relates to the write-off of the unamortized discount on the TARP preferred shares. Adjusted for this charge, EPS was $0.22, which was relatively stable compared to the $0.23 reported in the fourth quarter. These results were driven by a lower loan loss provision and lower noninterest expenses in the quarter, offsetting a decline in fee income. All of which are consistent with the expectations that we outlined for you last month. Results in the current quarter compare very favorably to the prior year, driven by higher net interest income, a lower provision and higher fee income. I'll provide additional detail on our performance on subsequent slides, so let's turn to Page 7 and begin with the review of our loan balances. Now before discussing the trends in the loan balances, I'll first orient you with our loan segments, which were introduced in our 10-K in conjunction with new accounting guidance for the industry around disclosures of loan portfolios credit quality. Loans are now reported in three segments: Commercial, Residential and Consumer, and the bar chart on this page reflects these categorizations. You'll also find more granular detail about our sub-portfolios, also called Classes, as you review the balance sheet tables contained within our press release. The classes in our largest segment, which is Commercial, include CNI, Commercial Real Estate and Commercial Construction. I will point out that Commercial Real Estate reflects the income producing loans, while the owner occupied loans are now included in the C&I class. The Residential segment includes mortgages, Home Equity products and residential construction. And Consumer includes the balance of our portfolio, the largest categories of which are guaranteed student loans and indirect lending. Now turning to the content on the slide. As you can see, average performing loan balances were up approximately $400 million compared to the fourth quarter. The increase was driven by growth in the Consumer segment, more than offsetting declines in commercial and residential. Consumer was up approximately $1.1 billion due to the full quarter effect of an auto loan portfolio purchase that occurred late in the fourth quarter, improvement in our own auto loan production and from higher government guaranteed student loans. The Commercial segment was down sequentially by about $350 million as we continued to manage down the commercial construction and commercial real estate classes. The decline was partially offset by an increase in C&I, included target areas for growth and asset based, middle market and SBA lending. With respect to commercial client utilization rates, we experienced a small increase in our diversified commercial line of business and our utilization within CIB, our corporate and Investment Bank, declined slightly and remained at a historically low level. Residential average balances declined during the quarter by approximately $550 million due to reductions in nonguaranteed mortgages, Home Equity and residential construction loans. Now relative to the prior year, average performing loans were up just over $2 billion or about 2%. The growth was within the Consumer segment, and, again, driven by indirect auto and government guaranteed student loans. The Commercial segment declines were due to Commercial construction and commercial real estate, while the residential portfolio stayed relatively flat as run-off in the high-risk segments of the portfolio was offset by an increase in government guaranteed loans. So there are two main takeaways that I'd like you to leave with from our loan discussion. The first is that while overall loan growth had been modest due to weak demand, we have made progress in our balance sheet diversification strategy. One aspect of that strategy is to grow the Consumer segment, and we increased balances there by about $4.5 billion from the prior year. Another component of the strategy is to grow targeted portions within the Commercial segment, and we're also making progress on this front. As a couple of examples, we originated $4.4 billion in new C&I loans and commitments this quarter, which is up by $1.3 billion from the same quarter last year. We also grew our asset-based lending balances by over $500 million relative to last year. In addition to growing these targeted areas, we've also been reducing our exposure to higher risk portions of the portfolio. This change in the risk profile of the loan book is the other key takeaway, which I'd like to discuss in greater detail on Slide 8. Loans that we deemed to be higher risk are displayed on this page and totaled $12 billion at the end of the first quarter. That's down by over $11 billion, or almost 50%, from the fourth quarter of 2008 and these higher risk categories now represent only 10% of our total loan portfolio. Furthermore, government guaranteed loans are up over $6 billion during this same time frame, and they now comprise $9 billion or about 8% of our total portfolio. Taken together, the reduction in higher risk balances and the increase in guaranteed loans constitutes a significant derisking of the overall portfolio. And the risk reduction continued in the first quarter of 2011, as higher risk categories declined by $1.1 billion or 8% from the fourth quarter of 2010. The largest dollar declines came in the commercial construction and the Home Equity portfolios. So with that as background, let's turn to Slide 9 now for a discussion of deposits. Average client deposits were up $1 billion from the fourth quarter, and we continue to see the favorable shift in mix towards lower cost accounts. DDA, NOW, money market and savings increased by a combined $2.2 billion or 2%, while time deposits were managed down by $1.2 billion or almost 6%. Compared to the first quarter of last year, average client deposits were up about $5.6 billion or 5%. And the increase was also due to growth in the lower cost accounts, specifically DDA and money market, while higher cost time deposits declined. As we've acknowledged before, our favorable deposit trends have undoubtedly been aided by changes witnessed throughout the industry, such as clients' preferences for increased liquidity. But as Bill will share with you later, we are also confident that we are driving the trends via providing superior client service and through the investments that we've made. One financial metric where these efforts are evident is in our net interest margin, which you can see on Slide 10. Net interest income was down $17 million or 1% from the fourth quarter due primarily to the fact that there were two fewer days in Q1 versus Q4. However, the net interest margin was up 9 basis points to 353, marking its eighth consecutive quarter of expansion. The sequential quarter increase was driven by a combination of higher yields on earning assets, in part from the securities portfolio repositioning that we completed during the quarter, as well as from lower rates paid on interest-bearing liabilities, which was largely the result of the aforementioned deposit mixed shift. Relative to the prior year, net interest income increased by $75 million or 6% and the margin expanded 21 basis points. This improvement was primarily the result of the previously discussed deposit trends and our effective deposit pricing. Our loan pricing improvements and our commercial loans swap position have also helped mitigate the impacts of the prolonged low interest rate environment. Looking ahead to the second quarter of 2011, we do expect our net interest margin to be relatively stable to its current level. So let's switch our focus to noninterest income on Slide 11. On a reported basis, noninterest income was down 14% sequentially, but, as in prior quarters, we've made adjustments for certain items like securities gains and mark-to-market impacts, and the full list of these adjustments may be found in the appendix. Net of these adjustments, noninterest income this quarter was $825 million, which was down 11% from the prior quarter. This reduction was in line with our expectations and primarily driven by lower mortgage production and Investment Banking income. Trading account profits and commissions were also one of the larger drivers on a reported basis. However, this line item was stable when factoring in the adjustment items. Sequential quarter mortgage production decline was due to the impacts of higher mortgage interest rates during the quarter. As a result of the higher rates, we experienced a 34% reduction in closed loan volume, as well as lower production margins. Investment Banking declined from its record fourth quarter level, primarily due to lower syndication revenue as numerous clients accelerated closings of transactions into the fourth quarter of 2010. Relative to the prior year, adjusted fee income increased by $53 million or 7% despite lower deposit service charges due to Reg E. The growth came from a broad array of core consumer and commercial key categories, including trust income, retail investment services, Investment Banking and card fees, each growing by more than $10 million and by double-digit percentages. Now let's turn to Slide 12 for a discussion of mortgage repurchase trends. As you can see in the top left portion of this slide, the income statement impact from repurchase costs was $80 million during the current quarter. This was down slightly from the prior quarter as charge-offs declined $15 million to $75 million. The reserve was increased $5 million to $270 million, as we did see an uptick in repurchase demands during the latter part of the quarter. The top right portion of the slide shows that pending demands increased to $363 million, and this was caused by increased repurchase requests, which are depicted in the bottom left of the slide. This quarter, we had $313 million in repurchase requests, which was an increase of $80 million from the fourth quarter and driven primarily by increased agency requests related to the 2007 vintage loans. As the quarterly trends depict, repurchase requests can be very lumpy from one period to another, and while we continue to expect some volatility in these requests, we also continue to believe that over time, normal seasoning patterns will result in a decline in volume in the higher loss 2006 to 2007 vintages. The information that we have provided in the bottom right of this slide is consistent with what we shared last quarter and is intended to provide you useful information with respect to calculating a lifetime loss estimate, as well as some additional detail around our non-agency exposure. Now unrelated to the repurchase reserve, but another mortgage topic that has gotten a lot of attention recently, is the impact that the April 13th mortgage servicing consent order could have on the value of mortgage servicing rights. In short, our MSR value of $1.5 billion was evaluated in the context of the overall servicing market at the end of the first quarter and does not explicitly include any incremental cost that may be associated with the order. However, we did assume in our valuation methodology that the elevated level of mortgage servicing costs that we are currently experiencing remains high for a considerable period of time into the future. We are in the process of evaluating whether there could be additional costs associated with the consent order that warrant inclusion in our valuation approach but it's too early to know what this impact might be. In the interim, as you are developing your own estimations, it is important to remember that servicing portfolios can vary significantly across servicers due to differences in product mix, delinquency status and service fee levels, all of which can create valuation differences across institutions. Now let's turn to Slide 13 for a review of expenses. On a sequential quarter basis, reported noninterest expense declined $83 million or 5%, while adjusted noninterest expense was down $67 million or 4%. These declines came despite higher seasonal employee benefits costs experienced during the first quarter and were driven by three areas: credit related, marketing and outside processing expenses. Credit-related costs were down $34 million due to lower other real estate expenses, as well as decreases in credit and collections expenses. Marketing and outside processing were down $18 million and $16 million, respectively, as both of these categories had specific investment related expenses that were incurred during the fourth quarter. Relative to the first quarter of 2010, expenses increased by a little over $100 million. Staff expenses were the largest driver, up $62 million due to higher compensation from improved revenue generation, as well as the hiring of additional teammates, primarily in mortgage origination and in client service and support roles. Let's now switch gears and turn to Slide 14 for a review of credit quality. Asset quality metrics continued a multi-quarter trend of improvement as early-stage delinquencies, nonperforming assets and net charge-offs all declined again. As a result, we lowered the allowance by $120 million or about 4% to its current level of 2.49%. Early-stage delinquencies, excluding the guaranteed portfolios, were 80 basis points this quarter, which was a 10 basis point improvement from the prior quarter and a little more than we expected. Improvement occurred in most of the portfolios and was most notable in a 27 basis point decline in the nonguaranteed residential mortgage portfolio. Among other large portfolios, commercial real estate and indirect auto both declined 10 basis points, while Home Equity notched up a little bit by 6 basis points. We continue to expect that additional improvement in early-stage delinquencies, particularly in our residential portfolios, will be tied to the health of the general economy since commercial and consumer delinquency rates of 24 and 79 basis points, respectively, are already at relatively low levels. We'll discuss nonperforming loans and net charge-offs in greater detail on the following page, so I'll keep my comments brief for now. Nonperforming loans were down $139 million, marking the 7th consecutive quarterly decline. Nonperforming assets declined by $190 million due to lower NPLs, as well as an approximate $50 million reduction in other assets. Net charge-offs also continued their favorable trend, down $50 million in the quarter to an annualized 2.01% of average loans. Now the decline in the allowance for loan and lease losses was consistent with the reduction in the fourth quarter, and it was also commensurate with the improved credit quality of the portfolio, including a reduction in higher risk balances, as we discussed earlier, lower emerging risks in the portfolio as evidenced by the lower delinquency rate and the recognition of current-quarter charge-offs. So let's turn to Slide 15 for a review of credit trends by loan segment, and you may also find additional detail by loan and class in the appendix. Nonperforming loans were down 3% from the prior quarter, driven by residential, and, specifically, the nonguaranteed mortgage portfolio. Included in this nonperforming loan decrease was a transfer of $57 million in carrying value to loans held for sale. The value of these loans was reduced to $47 million in connection with the transfer, and a $10 million differential was recognized in the current quarter as a net charge-off. Commercial Loans continued to perform well and had relatively stable nonperforming loans, as a $118 million sequential decline in commercial construction was partially offset by a $93 million increase in commercial real estate. Relative to the prior year, nonperforming loans were down $1.2 billion or 23%, driven by nonguaranteed mortgages, construction and C&I. Net charge-offs, which are depicted at the bottom of the page, were down 8% from the prior quarter, driven by lower losses in the Commercial segment, and, specifically, within the C&I and commercial real estate portfolios. The Residential and Consumer segments were relatively stable. Relative to the prior year, net charge-offs declined across most portfolios and were down by a total of $250 million or 30%. And the largest reduction occurred within the nonguaranteed mortgage portfolio. And as we look to the second quarter of 2011, based on the continued progress that we've made in early stage delinquencies, we currently expect nonperforming loans to decline and net charge-offs to be relatively stable to first quarter levels. And with that, I'll turn the call back over to Bill to discuss some recent business highlights.
William Rogers: Okay. Thanks, Mark. And before we open the call up for Q&A, I'm going to spend a few minutes highlighting a selection of recent accomplishments. I want to share with you how we're aligning the company to deliver improved performance, as well as some of the progress that we've made today. Now as you'll recall from a number of our prior presentations, our three guiding principles for operating and growing our company are centered around one team, client first and focus on profitable growth. It's a pretty simple formula, but its results are powerful when executed correctly. One team can be exemplified by engaged teammates who are more passionate about their jobs. They understand the company's mission and their role in its application, and they provide better service to their clients. Well-served clients are more loyal, they're less likely to attrite and they offer a greater a share of their wallet, and, finally, they are a great source of referrals. And when all that occurs, we make more money for our shareholders. By focusing on these three core tenets, we're confident we can markedly move the needle on core performance. And today we've chosen to highlight a few key accomplishments in each of those areas. First and, we believe, foundational to our success in the other two areas, is our ability to work as one team. And we measure this very intently, and we're realizing positive improvements in virtually every area. We're listening to our teammates, and we're making the necessary changes to improve the experience of working for SunTrust. An engaged teammate, we believe, is a competitive advantage. One team also means working to ensure the entire bank has delivered to our clients seamlessly. Our improved cross-selling efforts and client penetration are testaments to our progress here. One example is in our ability to cross-sell mortgages to our banking clients. Currently, 1 in 5 of our input, print homeowner households have a mortgage with SunTrust, and we believe that's a high number. Our strategy is one that's grounded in providing the best service to our clients. That's what we mean by client first, and, like teammate engagement, it's something that we measure intently. In fact, we call 1,000 clients a day and ask them how we're doing. And overall, they tell us we're doing pretty well. This is also clear from the recognition we've received for both consumer and commercial banking client experience. For example, we recently received 18 Greenwich Excellence Awards for our distinguished performance in delivering for our business clients. This is up substantially from prior years, and we were one of the top award recipients nationally. We were the only bank to earn 18 Greenwich Awards and the JD Power Customer Satisfaction Award in Business Banking in the same year, and we recently received the #1 ranking for customer experience from Forrester Research. These awards and our own internal measures support our belief that we offer our clients a differentiated, high-quality banking relationship. I believe this supports Mark's statement that our client service is helping drive increased deposit balances. Our client service levels are also driving client loyalty. Our client satisfaction is at the highest level it's ever been as measured by our own service excellence program. And this is evident in our numbers, as net new consumer checking accounts were up 30% this quarter from the same quarter last year. What's also important to note that this increase was driven by a 9% decline in closed accounts as our attrition rates continue to improve. So you've seen improved performance over the past several quarters, and we believe even better days are ahead of us. A few highlights from this quarter on areas where we've succeeded include: industry-leading client deposit growth, the third-best net income and revenue quarter in Corporate Investment Banking, revenue up nearly 50% over the prior year, substantial increase in Wealth and Investment Management net income up 34% from the prior year, with a 16% in net fee income; overall we're pleased with the progress we've made thus far, but there's some obviously more ground to cover. So moving onto the final page, I'll wrap up with some formal comments for this call. Let me give a brief summary of what we shared with you today. We redeemed our TARP shares via a patient approach and are well-positioned from a capital perspective to pursue our growth objectives. The emphasis on profitable growth that I just outlined, coupled with continued credit quality improvement, asset and liability pricing discipline all resulted in solid performance this quarter, and that's despite some cyclical and industry headwinds. And our investments are paying off with some favorable trends in our core businesses. Now with that said, Kris, I'll turn it back over to you.
Kristopher Dickson: Thanks, Bill. Operator, we're now ready to begin the Q&A portion of the call. I'd like to ask the participants to please limit themselves to 1 primary question and 1 follow-up.
Operator: [Operator Instructions] Our first question today is from John Pancari from Evercore Partners.
John Pancari - Evercore Partners Inc.: You talked about your, the servicing, the MSR valuation, you mentioned that your assumption that costs related to servicing remain elevated -- are your assumptions for the MSR. So can you give us any help in trying to quantify what you mean by elevated and how the current assumption compares to the costs previously?
William Rogers: John, it's Bill. Let me just start with the presumption, and you've seen in our numbers, and we've been investing steadily in both people and technology related to the mortgage challenges for the past two years. So while we might see some modest increase in expenses from the consent order, I mean, I think we're still evaluating that full impact, and I think the cost of what we've been doing is included in that analysis. And you also have to consider the composition and performance of our portfolio and how it might differentiate from others. Did I get at it?
John Pancari - Evercore Partners Inc.: Yes, you did; that's helpful. The third-party review of your foreclosures process as required under the consent order, has that begun yet?
Thomas Freeman: If you go over the order there -- it's Tom Freeman. Yes, it has begun. We have people in place. The evaluation is to go over right now how it's going to be conducted to make sure it's going to be done in conformance with what the authorities are looking for, but it's underway.
Operator: Our next question is from Matt O'Connor with Deutsche Bank.
Matthew O'Connor - Deutsche Bank AG: I was wondering if you could talk a little bit about the loan pricing that you're seeing in Commercial? I've noticed that not only have you had pretty good growth but the yields are holding up. So I'm wondering both what kind of pricing are you getting and then what kind of impact from swaps might be in that average yield?
William Rogers: Okay. Matt, I'll take the first part of that; maybe I'll switch it to Mark to take the second part of that. We've had an intense focus, as you well know, on both the asset and liability pricing. We've put a great deal of discipline into the system, and we have been pleased that we've held up. I mean, we looked intently at how we're doing, not only relative to last quarter, but also relative to industry benchmarks. All that being said, and we're pleased with where we are, that's not to dismiss that there's a lot of price competition out there right now, and it's intense, and we're all focused on adding assets to the balance sheet. So while we've held up, we're in a pretty good headwind on pricing spread. And Mark, I'll turn it over to you if you want to talk about the swap.
Mark Chancy: Yes. Matt, we've had a good benefit, as you know, over the last several quarters from the Commercial Loans swaps. They still have about three years duration left, and the quarterly benefit is around $150 million. So I think as we move forward, you'll have a view on interest rates, if rates continue to stay low on the short end of the curve, we will continue to get a benefit for a period of time. That's certainly benefiting our overall commercial yields. We also did some securities portfolio repositioning in connection with the TARP repayment process during the quarter that also augmented our earning asset yields in the quarter.
Matthew O'Connor - Deutsche Bank AG: And then Mark, just a follow-up question on the liability side. You've obviously have had this good remixing of your funding base, growing deposits, running off some of the long-term debt. Outside the debt issuance to repay TARP, do you think you can work down the long-term debt further from here?
Mark Chancy: Yes, we have made a lot of steps here in the last couple of years in reducing our long-term debt, and it benefited dramatically, frankly, from the strong growth and improvement in market share in the deposits. We do have some additional room to go in terms of the liability management. There are also the trust preferreds that we will be evaluating as we move forward during the course of the year, depending upon the final capital rules that are proposed by the Federal Reserve, and so that's another area that we will be evaluating during 2011.
Matthew O'Connor - Deutsche Bank AG: Okay. And I'm probably trying to squeeze in a third question, but it's a little bit related. I guess some banks swap out their long-term debt. It seems like you've chosen to put it more on the asset side because it doesn't look like you've swapped out the long-term debt. Is that -- is there a lot...
William Rogers: Let me say it this way, Matt: As of the end of the quarter, that's correct. We issued on a fixed rate basis. We will evaluate in the context of our overall balance sheet management and our asset liability management strategy whether or not to swap that issuance to floating rate and/or other similar actions.
Operator: Thank you. Our next question is from Todd Hagerman with Sterne Agee.
Todd Hagerman - Sterne Agee & Leach Inc.: Just a question on the credit side. Mark and Tom, you've been talking now for several quarters about, just as we think about the outlook for charge-offs, more flattish, if you will, in Q2. But the question relates to, with $120 million in basically reserve release this quarter, the commercial past dues are basically half of what they were a year ago. The mortgage side is becoming more stable. So how should we kind of think about -- two parts: One, your assumption in terms of the ongoing kind of loss severity and your assumptions built into the reserves there on the mortgage side; and just ongoing reserve release given kind of the stabilization that we're now starting to see in the mortgage and kind of that flat outlook for charge-offs.
Thomas Freeman: It's Tom. The indication -- I think of what's going on, I think you have to go back and go back through the chain again, and the chain starts with early stage delinquencies continuing to come down within early stage delinquencies coming down with the lag effect. I think that, that has implications for charge-offs later in the year and early next year in terms of a continued improvement in charge-off activity. And I think we're going to continue to work through, although it's hard work working through getting down our nonperforming loans. I think we're seeing a recurring downward trend in those activities as asset quality continues to improve, our need for reserves mitigates.
Todd Hagerman - Sterne Agee & Leach Inc.: So if I hear you're right, there may be still more release to come on the reserve side, perhaps more so on as it ties to commercial. But we may not see a more tangible benefit until maybe later in the year or early next year, just based on where the delinquencies are trending?
Mark Chancy: This is Mark Chancy. We're at about a 2.5% reserve ratio versus about a 2% charge-off ratio in Q1. We had a pretty nice takedown, 8% sequential decline in net charge-offs, as you saw, and that was certainly a rationale for us, along with the delinquencies as Tom mentioned and the reduction in nonperforming loans. You'll see a reduction of about a similar magnitude that you've seen in the last couple of quarters in terms of the reserve. We're not providing any specific forward-looking guidance, but we are guiding you down on non-performers and relatively stable net charge-offs, at least in the second quarter, as we continue to have some higher levels of commercial real estate, which we have guided you to in the past couple of quarters. And as Tom mentioned, we see the further improvement in charge-offs in the consumer portfolio that correlates to the delinquency trends.
Operator: Our next question is from Gerard Cassidy with RBC.
Gerard Cassidy - RBC Capital Markets, LLC: Sticking with the nonperforming asset questions, do you guys have the inflow number that you report on your line 9? If you look at it, the last three quarters, the inflows of new nonaccruals have been running at about $1.2 billion. And tied to that, did your classified loans decline this quarter relative to the fourth quarter of last year?
Thomas Freeman: Oh, classifieds came down nicely during the quarter, and we're continuing to see a path of slowing inflows in almost all of the loan categories into nonperformance.
Gerard Cassidy - RBC Capital Markets, LLC: On the classified decline, was that 5%, 10%?
Thomas Freeman: I'm trying to think how to answer that. Classified declined; we don't report separately, I think.
James Wells: Yes. Gerard, that'll come out... [indiscernible]
Thomas Freeman: It'll come out more of queue 9, right now, if you could wait a couple of -- a few days.
Gerard Cassidy - RBC Capital Markets, LLC: Okay. And then on the net interest margin, if you assume that the fed funds rate stays around 25 basis points through the year-end and the yield curve is essentially where we are today, what would be the main driver of keeping it where it is? Will it be more the management using different derivatives or is it going to come from better loan growth, what should we focus on to see what this net interest margin could look like over the next nine months, assuming rates stay low and loan demand doesn't pick up dramatically?
William Rogers: As I mentioned earlier, we've been getting a significant amount of improvement in the margin that's come from the deposit mix that continues to be favorable in terms of growth at the low-cost accounts like DDA and money market. That's been a real driver for us in the past year, particularly when you look year-over-year, where those lower costs deposit categories have grown double digits while time deposits have shrunk. And the repayment of the debt, as we talked about a few minutes ago. We have some additional liability management strategies that we can employ that will continue to support and/or augment the margin. But one of the things that we've said consistently in the past year is, as the economy improves, we are expecting commercial deposits to decline somewhat as loan growth accelerates. So far, that hasn't happened at the pace because the economic environment hasn't picked up to the level that we had all hoped. And so at this point, we're continuing to benefit significantly from the higher level of deposits. As the curve has steepened, so new CDs become a little bit more expensive and so we're going to evaluate that in the context of the continued growth strategy that we have in growing core households. So all that mixed together, we've given you guidance that we think is relatively stable in the near-term.
James Wells: Yes, and I'll just add onto that, we're continuing to maybe surprise ourselves by the ability on the liability side to continue to wring a couple of basis points with a variety of different strategies, as Mark elaborated. And then we'll have to see on what happens on the asset growth side. I mean, I think we've got some good signs in a couple of key areas related to asset growth, but that'll clearly be dependent upon some continued and improved economic recovery during the latter part of the year.
Operator: Thank you. Our next question is from Marty Mosby with Guggenheim.
Marty Mosby - Guggenheim Securities, LLC: I wanted to ask you about the restructuring. We moved a little more than $5 billion of treasuries over to agencies. What was the pickup in yield, and what kind of duration did you put that into?
Aleem Gillani: Marty, this is Aleem Gillani, the treasurer. We picked up about 30 basis points in excess yield on those, and we put those -- we put the new funds into a mix of agency bullets and into MBS. Average duration of the new funds would be on the order of about 4 years.
Marty Mosby - Guggenheim Securities, LLC: And was that pretty consistent with the treasuries that you were coming out of? So did you shift any of your positioning at all?
Aleem Gillani: The last set of treasuries that we were in just before we sold them off in order to repay the TARP were 5-year treasuries.
William Rogers: Yes, our overall buck [ph] securities portfolio duration is still around low 3, 3.3 years. But not a significant shift. We do have a view that interest rates on the short end are going to continue to stay relatively low through the end of the year given the continued weakness, particularly in the housing markets. And we have the balance sheet postured with that view in mind.
Marty Mosby - Guggenheim Securities, LLC: Okay. And excess cash on the balance sheet seems to be or may be around $2 billion. Is that a decent approximation?
Mark Chancy: A little higher than that, it's in terms of the amount at quarter end. We've been fluctuating in and out of basically $2 billion to $4 billion of excess cash.
Operator: Thank you. Our next question is from Ken Usdin with Jefferies.
Kenneth Usdin - Jefferies & Company, Inc.: Just to extend on Gerard's question. Mark, to your point about currently getting a nice benefit in the NIM from the swap position, and that would continue as long as rates remain low, can you just walk us through and remind us what happens when rates start to move higher? Do you expect you can keep the margin just kind of flattened as those two things trade off? Higher rates, but then the swap income comes down?
Mark Chancy: Yes, let me just comment. When we do our asset and liability simulation analysis, we are basically neutral to a rising rate scenario, whether you shock it and/or you do a gradual ramp of rates. And so what I was trying to say is, as it relates to the commercial loan swap position, if rates continue to stay low, we get the full benefit of the differential between that received fixed payment and the floating payment that we made and we're getting a significant amount of net interest income coming off of those, that swap, which, the last number I have in my head is around $16 billion in aggregate notional. So on a go-forward basis, as rates rise, we are in a relatively neutral posture overall as a company.
Kenneth Usdin - Jefferies & Company, Inc.: Okay, so the delta to rates would then really be just your ability to grow loans and keep deposit costs low?
Mark Chancy: Yes.
Kenneth Usdin - Jefferies & Company, Inc.: Okay. And my second question is just on the loan portfolio, I heard clearly where you're expecting to see growth over time, and I'm just wondering, as far as some of the portfolios that are just continuing to shrink or in kind of net runoff mode, at what points could you expect to see whether it's the CRE portfolio, the Home Equity portfolio, Commercial and Construction? Any signs that those portfolios get close to bottoming at some point this year, or is it just going to be a continuously kind of downward trail?
James Wells: I think, clearly, for this year, we're on a continual decline because, as you might imagine, there's not a lot of opportunity to replace those assets and we're on a $1 billion a quarter kind of trail from last quarter, and we don't have that kind of good asset opportunity in those categories.
Kenneth Usdin - Jefferies & Company, Inc.: And then my last final follow up on that is just then, how are you approaching just the CRE market generally speaking from the terms of a capacity to look for opportunities when they come? And also, what pockets, if any, do you expect to see improvement? Are there any signals at all whatsoever?
James Wells: Yes, there are a few, and we're clearly being selective. We're working with long-standing clients. We look at our heat map, so to speak, of our franchise and where we see opportunities. And you, as you might imagine, multifamily would be one of those examples where you see some opportunities in select markets that will follow our clients. There are some industrial opportunity in some markets. Again, we'll follow our clients into well-structured deals. So selective, in the market with our clients around specific asset classes and specific markets.
Operator: Thank you. Our next question is from Christopher Marinac with FIG partners.
Christopher Marinac - FIG Partners, LLC: I had a question on the mortgage prepurchases back on Slide 12. Is there any, I guess, background on the small increase we've seen from 2011 vintage?
Mark Chancy: 2011 vintage? It's coming off of a very small base, so when you look at it that way, there's nothing of any significance there, Chris.
Christopher Marinac - FIG Partners, LLC: Okay, very well. And just a question for Tom, is there anything geographically you're seeing on classifieds? Will they be following across the board by region as well?
Thomas Freeman: It goes into the spread of asset classes that we're in. The C&I stuff just continues to improve, I think across the board in all of our geographies. And the commercial real estate, because of our concentration in Florida, I think is most affected, both residentially and commercially, by continued weakness in the Florida market place.
Operator: Thank you. Our next question is from Kevin Fitzsimmons with Sandler O'Neill.
Kevin Fitzsimmons - Sandler O'Neill: Bill, I was wondering if you could give us your sense on how you look at expansion through M&A? I know SunTrust has been through, is back to profitability now. You've paid back the TARP. I know there's a lot of work to do internally, and you often refer to the franchise strength. But just trying to gauge -- there's been a lot of discussion about consolidation in the space, at the same time, new organic growth just really doesn't seem to be that abundant. Is that something you have an appetite for, or below a certain size is it just not worth the effort, if you can just elaborate on that?
William Rogers: Yes, I think we've been sort of fairly consistent on that front. I mean, we've looked at opportunities. I mean, we're skilled in the process, and what you've seen from us in the past other than maybe a few small acquisitions in the Wealth and Investment Management area, we haven't found anything that was particularly attractive or accretive to the franchise. I think going forward, we would still be primarily an end-market type look and things that round out our franchise in areas where we have opportunity. But it would have to be geographically accretive to what we're trying to do and financially a smart deal. And in your question, I mean, some of the small things we've seen today just don't really fit into that category.
Operator: Thank you. Our final question today is from Jefferson Harralson with KBW.
Jefferson Harralson - Keefe, Bruyette, & Woods, Inc.: I want to ask you about the quarter-to-quarter movement and that mortgage production revenue line item, and particularly the game piece of it. It does seem like that decrease was more than what we've seen from other banks. I'm just wondering if you can just talk about that quarter-to-quarter move and kind of what we can expect going forward or how we should think about it going forward.
William Rogers: Let me take a first shot at it. We were down 34% in closed loans, applications down about 16% and the gain on sale margin was tightened. I don't -- it would be confusing to me that we would be any particularly different from anybody else as it relates to that. Now all that being said, starting 18-months-plus ago, I mean, we're tight on credit, so we're maintaining to maybe in some quarter or not, maybe giving up a little market share to ensure that we've really got a tightness around the quality of the assets. On a go-forward basis, clearly, refinances is waning. It's about 40% of the volume in the quarter and has been going down pretty substantially. March was a little better month on the purchase side. We're starting to see some uptick in early application volume, and we'll have to see what happens on the purchase side going forward. I mean, it'll clearly be a purchase-driven market for the rest of this year.
Mark Chancy: And Jefferson, to your question also, you got to remember that the repurchase costs are a net against net production income, and we had about an $80 million addition to the reserve or impact to the income statement down from the last couple of quarters in that $85 million to $95 million range, but we've been hovering in that level. As that works itself through, that will be a reduction of a headwind, if you will, to net mortgage production income that we'll be able to post.
Jefferson Harralson - Keefe, Bruyette, & Woods, Inc.: And one follow up on the mortgage repurchase request. It would seem like that the requests are coming in sequentially, and we felt like they were getting closer to the end because we were doing more 2008, 2009 possibly requests. And what I hear you saying is that the '07 vintage requests have increased, is, was the feeling of sequentiality, if you will, incorrect, or do you think the sequential piece of it is out the window or is still kind of happening sequentially? Or just how should we think about the increase in the '07 vintage?
Mark Chancy: Yes, I mean, the bottom line is that we continue to have some variability on a quarter-over-quarter basis, particularly with one of the agencies as it relates to their processes and then what we should expect in terms of file requests, and ultimately, repurchase requests. I think what you can take from our reserving process is that while we did have a slight uptick in the reserve that correlated to the higher repurchase demands during the quarter, that at a high level, we are tracking, and based on the delinquency levels that we see and the expected burnout in some of those higher request vintages of '06 and '07, that we should continue to see improvement as we work ourselves throughout 2011 with repurchase requests. We made a statement earlier that we expected the net impact of the income statement to be down relative to 2010. And, but we're going to have some variability on a quarter-over-quarter basis.
Kristopher Dickson: Very good. Everybody, this concludes our call for the day. I want to thank you for joining us, and please feel free to contact the Investor Relations department if you have any other questions.
Operator: Thank you. This concludes today's conference. Thank you for participating. You may disconnect at this time.